Operator: Good morning, and thank you for holding. Welcome to Rent-A-Center's Fourth Quarter Earnings Conference Call. As a reminder, this conference is being recorded Tuesday, February 25, 2020. Your speakers today are Mr. Mitch Fadel, Chief Executive Officer of Rent-A-Center; Maureen Short, Chief Financial Officer; and Daniel O'Rourke, Senior Vice President of Finance. I would now like to turn the conference over to Mr. O'Rourke. Please go ahead, sir.
Daniel O'Rourke: Thank you, Lisa. Good morning, everyone, and thank you for joining us. Our earnings release was distributed after market closed yesterday, and it outlines our operational and financial results for the fourth quarter and full-year 2019. All related materials, including a link to the live webcast are available on our Web site at investor.rentacenter.com. As a reminder, some of the statements provided on this call are forward-looking statements, which are subject to many factors that could cause actual results to differ materially from our expectations. Rent-A-Center undertakes no obligation to publicly update or revise any forward-looking statements. These factors are described in our earnings release issued yesterday, as well as in the company's SEC filings. I'd now like to turn the call over to Mitch.
Mitch Fadel: Thank you, Daniel, and good morning, everyone. Thank you for joining us. We will be providing a voiceover to the presentation shown on the webcast, and it can also be found on investor.rentacenter.com. 2019 marked a milestone year for Rent-A-Center, and as you can see on slide three, we significantly improved profitability and cash flow. Performance was driven by revenue growth and efficiency initiatives. We made strategic investments that are taking our retail partner segment to the next level, and we profitability grew the Rent-A-Center business as well. Comparable store sales were positive in all operating segments fueled by continuing enhancements in our value proposition and in ecommerce. We strengthened our balance sheet due to a significant reduction in debt, and used excess cash investment in our growth strategy, while simultaneously initiating a 16% increase in our quarterly dividend. We feel great about the business, and believe we are well on the path of sustainable earnings growth. We have a business that generates significant cash. In channels, we intend to continue to evolve and optimize to capture growth. I am extremely proud of our teams and confident in our strategy. Now, turning to the fourth quarter on slide four, while consolidated same-store sales were up 1.6% over the fourth quarter last year, they have increased over 10% on the two-year basis. We ended the quarter with a record number of average customers per store. Operating earnings rose approximately 50%, and the adjusted EBITDA margin improved 210 basis points versus the same quarter last year helped by favorable lease performance and efficiency initiatives. Revenue growth in our retail partner channel accelerated in the quarter with invoice volume up 35% driven by organic expansion and strong performance in virtual. We believe we are well-positioned to build on these trends in 2020, and our forecast for the year includes double-digit growth for invoice volume and positive comparable store sales in our Rent-A-Center business. Now, Maureen will go over more specifics in a moment. So, I want to focus for a few minutes -- focus my comments on how we are thinking about the next several years, including our earnings goals and strategic priorities. As we outlined on slide five, the lease-to-own market remains dynamic and resilient, and ecommerce and virtual opened up sizable markets. We think the opportunity is north of $25 million with ample runway ahead. As you saw on the earnings release, we have renamed our segment reporting to align with our priorities around virtual and omni-channel. We launched an integrated retail partner solution under the preferred lease grant to start 2020, and preferred lease includes our virtual, our staffed and hybrid offerings, and with the evolution of a decade of experience serving retails partners. It offers partners a flexible model serving banked and unbanked consumers for meaningful incremental revenue potential. The model has momentum with revenues in the quarter, driven by organic expansion and virtual growth. The Rent-A-Center business segment includes our stores and ecommerce platform. The segment is benefiting from our work to create a true omni-channel experience. It serves customer where and how they want to shop. Ecommerce ended 2019 at 15% of revenues, up from approximately 10% last year. This channel leverages our stores to provide a highly effective distribution network that drives attractive [unit economics] [ph] with acquisition cost and higher ticket. We think that's unique advantage that drives synergies for both the Rent-A-Center business and a preferred lease. So, turning to slide six, we believe our strategy to grow preferred lease in our Rent-A-Center business can drive significant shareholder returns. We believe a combination [comes on] [ph] consistent mid single-digit revenue growth. This includes our goal for over $1.2 billion in revenue via preferred lease by 2022, and low single-digit same-store sales via the Rent-A-Center business. We think the combination can drive an 11% to 13% adjusted EBITDA margin over the long-term with profitability expected to benefit as preferred lease achieved scale. So let's turn to the catalyst for our financial goal starting with preferred lease on slide seven. We currently operate in five out of the top six conventional furniture retailers. Invoice volume is growing in both staffed and virtual offerings, so we are focused on increasing revenues with new and existing partners to achieve our two-year goal of over $1.2 billion in revenues, and I should point out that $1.2 billion goal does not even assume a large national retail partner. Turning to slide eight, the key driver, and I am not sure this is fully appreciated either is our differentiated model. Partners will ask, "How will this work for us?" And our answer is the lease-to-own solution can be purely virtual, and can integrate with credit acquisition process, or operate on a standalone basis, preferred lease can be a fully staffed option or it can be staffed on weekends or during heavy traffic periods, whatever best addresses our partner's desire for flexibility, control, and consumer transparency. I think it's a very effective -- highly effective model. We also serve bank and unbank consumers with decades of experience in both, and we're going to make sure we address the full spectrum of credit-constrained consumers rather than just a subset of it. The powers of combination proven by the fact that our revenue per location is over seven times higher than competitors for retail partners given the benefits of the model I just described. We have no leadership to drive growth, and we're making investments to improve the ecommerce experience both traditional and pure-play partners. These include a streamlined execution process and integrated checkout on ecommerce, on the ecommerce sites I should say. To say the least, we're very excited about our pipeline and our prospects to grow preferred lease. Turning to our Rent-A-Center business on slide nine, we're extremely pleased with performance in that segment as well. Solid growth in the portfolio in 2019 supports our plan to achieve low single-digit comparable sales growth in 2020, and we're building on the merchandising improvements we made over the last two years. For example, in 2019, we expanded assortments into jewelry, tools, handbags, and tires, and we're continuing to shift our mix to higher margin products in the aspirational merchandise, this offsetting performance of some consumer electronics categories. Turning to slide 10, we're also achieving record levels of ecommerce traffic thus resulting in continued growth in comparable store sales. Ecommerce sales are expanding our customer base with a new younger demographic. These transactions are accretive relative to traditional in-store agreements, they have lower customer acquisition costs, higher products and stronger lease performance helps offset slightly higher skips on loss rate and ecom. We're rolling out additional site improvements in 2020 from the application process and reduce that risk. We're also excited about the new mobile first platform for rentacenter.com, which went live just last month. This platform adds enhanced payment functionality, increases speed to market for site improvements and updates. Our focus is fueled by technology the lease-to-own customer across multiple channels. Our store base provides a highly effective network to address the final mile delivery, and we're leveraging it for same-day delivery and for collections. I want to stress though, what we're excited about the potential growth opportunities, we intend to achieve our objectives in a methodical disciplined way. We've done a tremendous amount of work to improve the organization and to support growth, and we will manage the businesses and our investments to ensure we're not sacrificing returns for revenues. Now, before I turn it over to Maureen, I want to mention, as you may have read in the press release, we entered into an agreement with the Federal Trade Commission subject to a [30-day counter] [ph] period resolving the civil investigative demand, related to the purchase and sale of customer lease agreements in the Rent-A-Center business that we received from the FTC in April of last year, and there are no fine, no penalties, no admission of wrongdoing, fault or liability on the part of the company. The settlement permits us to continue purchasing and selling consumer lease agreements. This inquiry is entirely unrelated to the large settlement with the FTC announced last week [technical difficulty] in regards to the progressive statement. We have not received additional inquiries from the FTC, and we have a long history of working with the FTC, as well as other regulatory bodies to ensure customers clearly understand the key distinctions in our transaction. They provide flexibility and added value and we will continue to do so. We have no additional inquiries from the FTC at this time. I'll now turn over to Maureen to discuss the financials and our 2020 guidance.
Maureen Short: Thanks, Mitch. Good morning, everyone. I'll cover financial highlights for the fourth quarter and review our guidance for 2020. Starting with slide 11, consolidated total revenues were approximately $668 million in the fourth quarter, an increase of 29% versus the same period last year. The gain was driven by a consolidated same-store sales increase of 1.6% partially offset by re-franchising and rationalizing our store base. Adjusted EBITDA was $63.7 million in the quarter, and EBITDA margin was 9.5%, up 210 basis points over the same period last year. Non-GAAP diluted EPS was $0.58, up 66% over last year. Turning to segment results, which incorporates the changes noted in the release. Preferred lease total revenues increased 10.8% in the fourth quarter versus the same quarter last year. The performance reflects the 35% increase in invoice volume driven by organic expansion and strong performance in the retail partner channel. Same-store sales were up 2.1% in the fast model versus the same quarter last year. We are encouraged by the results and optimistic about prospects to achieve invoice volume growth in each quarter of 2020. This will be the final quarter we will report same-store sales for the preferred lease segment. As we believe invoice volume is the more useful metric as we move forward with our hybrid model and newly launched virtual offering. Adjusted EBITDA after preferred lease was $17.6 million or 9.2% of revenues. The year-over-year change in EBITDA as a percent of sales was driven by investments in people and cost to integrate technology to support future growth. The margin Delta was also impacted by the mixtures to virtual locations, which have higher skip/stolen losses in staff locations. In total, skip/stolen losses were 14.2% of sales for the preferred lease segment in the fourth quarter. Lease performance was in line with our expectations for the quarter, and we believe profitability can improve as we scale the virtual offering. Turning to our Rent-A-Center business, which includes corporate owned U.S. stores and rentacenter.com, revenues were $438.8 million in the fourth quarter and benefited from a 1.2% increase in same-store sales. Adjusted EBITDA for the Rent-A-Center business was $72.1 million, 520 basis points as a percentage of revenue versus the same quarter last year. The performance was driven by lower supply chain expenses and an increase in vendor marketing contributions as we continue to streamline the business. As a percent of revenues skip/stolen losses were 4.1% flat sequentially with the third quarter of 2019. Finally in the corporate segment, fourth quarter adjusted EBITDA increased $1.6 million, and as a percentage of revenue increased 20 basis points versus the prior year, driven by performance-based compensation. Moving now to the balance sheet and cash flow highlights, cash generated from operating activities with $215 million for the year-ended 12/31/19. The company ended the fourth quarter with $70.5 million of cash and cash equivalents and outstanding indebtedness of $240 million, down $20 million from the end of the third quarter. In 2019, we paid down over $300 million in debt. The company's net debt-to-adjusted EBITDA ratio ended the fourth quarter 0.7 times compared to 2.1 times at the end of the fourth quarter 2018. Turning to our guidance for 2020 and our capital priorities on slide 12, on a consolidated basis, we're projecting revenues of $2.755 billion to $2.875 billion. Adjusted EBITA of $255 million to $285 million and non-GAAP diluted earnings per share in the range of $2.45 to $2.85. To summarize, the midpoint of the ranges equates to mid-single digit revenue and adjusted EBITDA growth, modest even the margin expansion and double-digit EPS growth. The guidance includes investments to support growth in both preferred lease in the Rent-A-Center business. We're also providing revenue and EBITDA guidance for preferred lease in the Rent-A-Center business. For the full-year 2020, we expect preferred lease revenues of $860 to $910 million and adjusted EBITDA of $95 million to $105 million. We expect revenue growth across the preferred lease segment with organic expansion in the staff model, the addition of virtual and hybrid doors and growth in our retail partner's ecommerce channel. Our 2020 estimate assumes roughly 20% organic invoice volume growth. We expect even a growth and margin improvement for preferred lease to be influenced by mix shift and additional investments to support growth. We expect to maintain a low double-digit adjusted EBITDA margin for preferred lease. A higher mix of virtual will result in a lower gross profit, offset by reduced operating expenses. The mix change will also impact skip/stolen losses. We expect the metric to be 100 -- 200 basis points higher in 2020 to an average of approximately 12% for the year in the preferred lease segment. For the Rent-A-Center business, we're projecting 20-20 revenue of $1.755 billion to $1.825 billion. As a reminder, the guidance does not include the impact of any new franchising transactions. We're projecting adjusted EBITDA of $265 million to $285 million for the segment. Our revenue projection assumes low single-digit increase in same-store sales for the year, as we benefit from growth in the portfolio, and ecommerce expansion offset by lower store accounts. We expect EBITDA performance to benefit from an additional $10 million to $15 million in costs initiative, which we believe is more than offset slightly higher skip/stolen losses from growth in ecommerce. We're projecting a skip/stolen losses of approximately 4% for 2020 in the Rent-A-Center business. As you look to the full-year, there are a couple of additional items I'd like to point out, first is share count, which ended the quarter 56.6 million diluted shares, versus last year due to higher employee stock compensation and shares issued in connection with the Merchants Preferred acquisition. As our practice or 2020 projection does not incorporate additional share repurchase activity, and assumed approximately 57 million diluted shares outstanding. The second is the cadence of earnings. As comparison 2019, we expect to grow earnings in each quarter of 2020. Looking at the first-half, we expect mid-single digit EPS growth in the first quarter as we invest in preferred lease and expect growth to accelerate in Q2 driven by cost savings initiatives. The second half should have a traditional seasonal pattern with stronger growth in the fourth quarter versus the third quarter. I'll close with a brief outline of our capital allocation framework on slide 13. As Mitch mentioned, we've made a great deal of progress to rejuvenate cash generation and profitability, and we're focused on growing the business in a disciplined way. Our priorities for cash are to invest in our business, followed by potentially taking advantage of M&A opportunities and returning cash to shareholders. 2019 reflected these priorities as we invested in the business purchase Merchants Preferred, pay down debt, and increase our dividends, which currently have a yield of a 4%. We expect to generate free cash flow in the range of $105 million to $135 million in 2020, which is a decrease relative to 2019. As you recall, the settlement risk related to the Vintage merger termination in 2019 resulted in a $65 million one-time benefit for free cash flow. Additionally, growth in EBITDA and lower interest costs will combine for $30 million benefits year-over-year, which we expect to be offset by higher cash taxes and investments to fund our growth initiatives. We plan to increase capital expenditures to $40 million to $45 million for the year to invest in technology and analytics in order to grow digital channels in support of the retail partner business and our ecommerce platform. Free cash flow guidance also includes investments and working capital to fund invoice volume. We believe these investments will generate a high rate of return and support profitability and cash flow. We also believe we can maintain our conservative balance sheet as we execute on our long-term financial and operational goals. Our net to adjusted EBITDA was 0.7 times, and we had total liquidity over $235 million at the end of the year. It has been our practice historically. We intend return excess cash to shareholders. We increased our quarterly dividends by 16% to start 2020, repurchase 59,000 shares in the fourth quarter, and we currently have share repurchase authorization of over $220 million. We've returned nearly $800 million to shareholders in the form of share repurchases and dividends over the last 10 years, and we will continue to opportunistically allocate capital to augment returns. As always detailed income statements by segment are posted to our website, and the 10-K will be filed by Friday, February 28.  Thank you for your time today. I'll now turn the call over for your questions.
Operator: Thank you. [Operator Instructions] And our first question today comes from the line of Brad Thomas from KeyBanc Capital. Your line is open.
Brad Thomas: Hi, good morning, Mitch and Maureen, and congratulations on a strong fourth quarter and strong year.
Maureen Short: Thanks, Brad.
Mitch Fadel: Good morning, Brad. Thank you.
Brad Thomas: Let's see, I wanted to just first start off with new preferred lease business and the integration of Merchants Preferred, and I guess just follow-up on where we are at on that -- in that integration and where we stand today from a position of your ability to go out in market and pitch the new offering and potentially be landing some new more sizable accounts?
Mitch Fadel: Good question, Brad. We are there. I mean we are integrated and we are ready to go. We made some enhancements, as Maureen mentioned, to the technology. Of course, that's an ongoing issue. We are always going to be enhancing especially in this day and age. So it's always being enhanced, but we are ready. We are out selling. We have added a number of people to sales team. Probably almost triple the sales team. Since we bought Merchants Preferred, we added a specific person for large national accounts as you saw our press release maybe about 10 days ago. So, we added to the sales team, added to the technology. We are integrated. And we have added a national accounts person solely to focus on the bigger accounts. So we are off and running.
Brad Thomas: Great, and on the Rent-A-Center side of the business, we had seen that the industry has faced some headwinds from things like deflation and consumer electronics and potentially that shorter selling season over the holiday period. What did you all see in the fourth quarter? And how are you feeling about the health of the portfolio? I mean clearly the guidance would imply that you feel about momentum, but just curious if you have experienced any other dynamics yourself.
Mitch Fadel: We do feel good about it. We felt good about the fourth quarter. We had a really, really tough comp as you know that whatever the Rent-A-Center business segment was 9% or something last year. We comped over that. So, now we are in the, I think, mid 10s on the two-year comp. So we are very happy with the way it turned out. We have adjusted our plans. I mean you can see the one week less from a shopping period standpoint that was on the calendar for a long time. So we knew it was there. And we started our Black Friday sale a week earlier than we had a year before things like that. So you just have to adjust and we feel good about it. As I mentioned, we have added a few new product lines. Yes, the deflation has been an issue. I am not even going to tell you, Brad, you know how long I have done this. I have done this for a number of years. So, we have been through quite a few cycles in the electronics category of having to adjust, bring a newer technology, try to -- these days ramp more of the Samsung QLEDs than we rent of the regular UHD TV is more premium technology and so forth. So, it's a headwind we are used to. You have to change your value proposition, adjust your pricing, adjust your screen sizes, adjust with the kinds of technology carry with. We have been through this a number of times, and it's -- I won't say it's not a bit of a headwind, but it's one we certainly have overcome and we will continue to overcome not only with the way we handle the electronics today, but with other new product categories.
Brad Thomas: Very helpful. Thanks so much, Mitch.
Mitch Fadel: Thanks, Brad.
Operator: Our next question comes from the line of Kyle Joseph from Jefferies. Your line is open.
Kyle Joseph: Hey, good morning guys, and I will echo Brad's statements about the solid quarter and solid end to the year. I just like to get your sense for on the preferred lease business. You gave us plenty of color about the margins in 2020, but as we step back and look at that from a longer term perspective, can you give us a sense for where you think that overall EBITDA margin shakes out? And maybe first in context just compare how it eventually looks versus the Rent-A-Center side of the business?
Maureen Short: Sure. Thanks, Kyle. So thinking about the EBITDA margins within the preferred lease segment, we expect low double digit guidance for 2020 for that segment similar to the EBITDA performance we had this year. We continue to invest in the business and so that negatively impacts EBITDA margin, but as we scale up the business, we have made some investments. We purchased Merchants Preferred which had a lower EBITDA margin, and as we integrated that within the business with a full quarter performance in Q4, that was slightly dilutive to EBITDA margins, as we scale up that business and recoup the return on our investments early in the year, not to start to build over time. So, we expect an ongoing EBITDA rate of low double-digits relative to the Rent-A-Center business, which is around 15%. As you know, we've had significant cost savings initiatives within that business segment, and even expect another $10 million to $15 million this year.
Kyle Joseph: Got it. That's really helpful. Appreciate that. And I know you just integrated the business, but can you give us a sense for the pipeline of retailers there and describe some of the -- you know, are they nationwide, are they more regional players, and then in terms of merchandises, are you guys looking to diversify the merchandise that you guys are partnered with there?
Mitch Fadel: Yes. Good morning, Kyle. Yes, it's a yes. All of those actually have, yes, to the pipeline looks really good. The pipeline for national players is starting to define itself. Again, we hired our national accounts person three weeks ago, but he hits the ground running, because he's done this for -- he was doing this for TD Bank before we hired Paul Hamilton. So, not that we weren't working on before that either. So, yes, the pipeline is good in all accounts, both in local, regional and national accounts. So, we're pretty excited, and again, I remind you, we don't -- the forecast doesn't necessitate a national player to hit the kind of numbers we've talked about over the next couple of years, just need to keep going on the regional players. So, we don't even have to have one, but I feel really, really good that we will get some national accounts over the next year or two.
Kyle Joseph: Got it. And then, one last one for me a little bit on semantics here, but the CapEx on the preferred lease segment was low in 4Q, are the investments in that business is not quantified as CapEx in the fourth quarter? I'm just kind of trying to reconcile that with your CapEx outlook for 2020?
Maureen Short: Yes. So, most of the investments we've made so far with the integration of Merchants Preferred have been to grow the sales team. There's been some technology investments, a lot of which will continue to grow in 2020, but some of that is operating expenses, some of that is CapEx, but a lot of what we've seen so far has been related to people, which are operating expenses.
Mitch Fadel: Yes, and enhancing the technology isn't always CapEx, right, a lot of it's operating expense when you're enhancing something that already exists.
Kyle Joseph: Yes, no, that makes perfect sense. That's it from me. Thanks very much for the time and answering my questions.
Mitch Fadel: Thanks, Kyle.
Maureen Short: Thanks, Kyle.
Operator: Our next question comes from the line of John Baugh from Stifel. Your line is open.
John Baugh: Thank you. Good morning, and congrats on the fourth quarter and year. I'll jump right into it, could you just tell us where in the store business the CE percentage is right now, Mitch, and maybe how that changed in 2019 versus 2018?
Mitch Fadel: It's about 15% of the revenue, and at the end of 2018, it was running about 10%. So, I'm not very good at math, but that's what about, 50% growth in that segment, it went from 15 to 10, from 10 to 15, excuse me. So, continues to grow, and we talked about a little bit last quarter how the number of orders that come in off the web are kind of a leading indicator, and when we look at the web orders in the fourth quarter, which was about 17% of all of our lease-owned agreements, that translates and it's heading towards being 20% of the revenue in the future. So, 15% of the revenue in the fourth quarter, but the agreements we were all were 17% of the agreement, so it just continues to build the -- writing the agreement obviously is more of a forward-looking indicator towards higher than 15% revenue going forward. So, it looks to me like that'll be 20% pretty soon.
John Baugh: Okay, I'm sorry, that was the ecommerce that you're talking about there, I was asking about the mix of products sold products or appliances versus consumer electronics in the store business in 2019 versus 2018?
Mitch Fadel: Sorry about that, I guess I heard that wrong.
John Baugh: That's okay. That's okay.
Mitch Fadel: I've been watching so many politicians. I just answered the question I wanted to answer rather than wanted to ask at time, but sorry I was about CE, so you were talking about the headwinds in consumer electronics?
John Baugh: Yes.
Mitch Fadel: Yes. We're down a little bit in that category, but again, and you know, John, we've done this together for a long time, you followed us a long-time. You have to, you stop carrying the 32-inch TVs and stop carrying 40-inch TVs and just get bigger when those TVs become $200 at stores like Best Buy, you don't carry them anymore and you just move up the screen size, you start to mix in the QLED from Samsung and nano cell from LG and that kind of stuff and you minimize the disruption of the deflation and we're still in that 25% range in consumer electronics. So, we've done it before, when we have to adjust from either adjust from two TVs to when those went out of style back in the 1980s and early 1990s. So we've done this a few times, we know how to do it. It doesn't mean it's not a bit of a headwind, it's just you can make a headwind with your value proposition, your mix, and then we're getting another categories, testing a lot of categories, but as I mentioned, like tires and handbags and so forth, but it's running above and maybe the short answer to your question is around about 25% of our revenue.
John Baugh: Great. Thank you for that. And then Maureen, I think you mentioned something about a 20% invoice growth in Preferred Lease in 2020, did I hear that right, is that comparing like the old Merchants Preferred organically or help me define that number?
Maureen Short: Yes, the 20% is that organic growth expected in 2020 in that business. As you know, we bought Merchants Preferred in August and we will also benefit next year from a full-year of Merchants Preferred. So we wanted to isolate the impact of just the organic growth, but just to help you, we ended the year with about $750 million in revenue in Preferred Lease. If we would have had Merchants Preferred a full-year it would have equated to another $50 million of revenue. So starting the year at $800 million it's about a 20% organic invoice volume growth. So, the total growth overall for that segment will be higher than 20 because we'll also have the full-year benefit of Merchants Preferred but organically we expect 20% invoice for volume growth.
John Baugh: Got it, so the staffed model will grow as you said maybe low single digits, and then to get to that guidance you gave for at least the rest of sort of combination of picking up pro forma, what you didn't own for Merchants Preferred as well as the organic growth there?
Maureen Short: The staffed business is actually expected to grow double-digits as well. It is slightly below Merchants Preferred but overall, it's also growing double-digits we're benefiting in the staffed business from adding additional functionality, technology, integrating with their POS systems and other application portals as well as growing the ecommerce business for our retail partners.
Mitch Fadel: It grew 15% in the fourth quarter in the staffed model, John.
John Baugh: Okay, that's interesting. Okay. And then you mentioned Paul coming on board. Were there other leadership changes that occurred within Merchants Preferred or Preferred Lease and any specifics of actions taken to help us think about the new tools in your tool bag in that side of the business?
Mitch Fadel: Well, certainly added lot of people, through an integration, some people, some people, a lot of people get in it, some people leave and so forth like any integration. The other thing I'd add is we added a board member, same press release we said out about Paul Hamilton joining us. We added a board member here recently that that has a lot of experience in the retail, retail business, retail partner business payment, payment solution business was Glenn Marino was with Synchrony for a number of years as top executive at Synchrony, so he just joined our board and so we're just adding a lot of people that help us in that part of the business and then a lot of sales people as well.
John Baugh: Great, thank you. Good luck.
Mitch Fadel: Thanks John.
Operator: Our next question comes from the line of Bobby Griffin from Raymond James. Your line is open.
Bobby Griffin: Good morning everybody. Thank you for taking my questions, and let me add my congrats to a solid all around year for you guys.
Mitch Fadel: Thanks Bobby.
Bobby Griffin: So I guess first I want to talk on the Lease Preferred, can you maybe talk a little bit about what some of your legacy acceptance now customers are doing? Are you seeing some of them switch to the virtual and hybrid model when they used to be staffed or they are kind of integrating the two, any commentary there would be great.
Mitch Fadel: There is a few conversions mostly in the lower, the lower volume staffed stores where it might be better for everybody to go more hybrid like just weekend labor or totally virtual. Our largest customers like I mentioned, that weren't five out of the six largest conventional furniture retailers, they're pretty much the same because the volume is such that we need to say staff pretty much Bell the bellwether, they're open, companies that you saw on the slide like Bobs and Rooms to go and Value City and so forth and actually those are staffed, Bell, and we will continue to be now some of the technology enhancements make us more efficient. Some of the e-com enhancements can grow the business more from the customers going on their website. So there're enhancements being made there, but those will say staffed, they just do a lot of volume per location.
Bobby Griffin: Okay, that's helpful and Maureen on the additional cost savings, I might have missed in your prepared remarks but additional cost savings in the Rent-A-Center business, can you maybe give a little color on what areas of the operations you guys have identified for the incremental 15 this year?
Maureen Short: Sure. The large piece of our cost savings initiative is optimizing the number of vehicles we have in our Rent-A-Center stores. We're also investing capital in new more modern technology to streamline the store network, which will increase the speed and functionality for our co-workers serving our customers, as well as the increased costs over time from the lower monthly spend. So this is mainly is reducing the fleet or the vehicles and reducing the network cost in our stores.
Bobby Griffin: Okay, that's helpful. And then lastly, just a quick modeling question for me. Can you provide the store count across the business units at the end of 12/31/19 for us to tune up our models?
Maureen Short: Sure, in the Rent-A-Center business, we ended the year with 1973 corporate U.S. stores, 998 Preferred Lease back locations, 123 Mexico locations and 372 franchise locations.
Bobby Griffin: Perfect, well, thank you for the detail, best of luck in 2020.
Maureen Short: Thanks a lot, Bobby.
Mitch Fadel: Thanks, Bobby. I'd also add to that before we get to the next question that Maureen had mentioned in her prepared comments. You're asking about the store count Bobby but she's added the share count number in her prepared comments and we need to make sure people heard that. So that because as you notice the EBITDA numbers relative to consensus estimates were are higher and not so much the EPS higher in 2020 compared to the street because the share count number being used by a lot of the analysts is not updated and if when you use the right share count with our profits, our EPS guidance is higher than where this street, so make sure we get the right share count, which is lot again, Maureen.
Maureen Short: We ended the quarter at 56.6 million and we're expecting it to be 57 diluted shares outstanding in 2020.
Mitch Fadel: Yes, if you don't use enough then EPS was, even though we guided higher profit. EPS came out about the same as it was because the number was too low in some cases and that mostly just stock performance a little bit on the Merchants Preferred stock we gave. But as the stock goes up more of the, as more shares to be counted based on the employee incentives and what we do in Merchants Preferred, so, just a little reminder there besides the store count, Bobby.
Bobby Griffin: Absolutely, thank you. Thank you for that Mitch and best of luck going forward.
Mitch Fadel: Thank you.
Operator: Our next question comes from the line of John Rowan from Janney. Your line is open.
John Rowan: Good morning, guys.
Mitch Fadel: Good morning, John.
John Rowan: Mitch, I was going to give you an opportunity to talk about the share count. So there we go again. Can you remind me in the deck it shows $220 million of repurchase authorization, can you remind me where that comes from; is that the accelerated buyback programs? What are the covenants around utilizing it, I just want to, I hate some repurchases in my model as well and I just want to make sure that we're bracketing, how we looked at those correctly, versus how the program functions. And you know what the covenant restrictions are?
Maureen Short: So, the $220 million was authorized by the board several years ago, we did do an accelerated share repurchase plan several years ago. I don't anticipate that at this point, but it was a decision that was made several years ago. We have plenty of capacity in our debt facility. That, that and that something that the board has opined on and believes that share repurchases could be a part of our capital allocation strategy. We actually did repurchase a few shares in the fourth quarter and are open to that in 2020. But as a reminder, our guidance does not include any share repurchase activity for 2020.
John Rowan: But your -- but the accelerated purchase program wouldn't preclude you from going into the market at opportune times. It doesn't require like a block purchase or anything, correct?
Maureen Short: No, that there's really no stipulation around share repurchases that were under at this time that the accelerated share repurchase plan was something we did a one-time thing several years ago. So it has nothing to do with our go forward strategy and potentially buying back shares opportunistically.
John Rowan: Okay. And then as we look at cash flow in 2020, right? So we can balance out the possibility of repurchases in the share count issue? The one -- was it 105 to -- I remember that the free cash flow guidance, that does not include the €35 million for the sale leaseback, correct. I can't remember, was that close to the very end of this last quarter or was that closed in January of this year?
Maureen Short: It was closed in the fourth quarter, so by the end of…
John Rowan: Okay. So that wouldn't be in guidance for next year. Okay. Tax season, some indications are the rates are -- refunds are a little slow. It's probably too early to draw conclusion. I did see something on the IRS website stating that you know some of the earned income tax credits and affordable childcare tax credits might get pushed out into the very beginning of March, which is a little bit of a delay versus last year. I just want to make sure that type of delay doesn't push refunds out past the early payout options for your lease contracts?
Mitch Fadel: Yes, good question. John, we don't know -- it is a little, it doesn't appear like it's going to be a little slower maybe a week slower than last year, but then appear this is going to cause any issue relative to how we perform in the in the quarter, how the customer performs. So I wouldn't see that as, it's a little bit slower, but I don't think it's going to be an issue based on the way, it normally works, and we're here we are later in February. I can tell you that, even through January. I mean, business remains solid and we're on our plan.
John Rowan: Okay.
Maureen Short: And John, and we have a longer same as cash period. Now relative to other than versus even a year or two ago, we're not up against that period where people sign up for agreements over Black Friday. And then, you come close to not being able to exercise, if there is a delay in tax return. And that's not an issue for us.
John Rowan: That's right. When did you -- did you extend that last year or was it even the year before where you changed? Was it went from like 90 days to maybe 120 or something like that?
Mitch Fadel: Yes. In early 2018, when I came back, we went from 90 to either 120 or 180, depending on the product that vary. So yes, Maureen made a great point. It doesn't -- it really wouldn't matter a week here or there, and this is, this will be our second tax season under that or we're two full years into that, that's working. Obviously, the value proposition is working pretty well.
John Rowan: Okay. Last housekeeping question, what's the correct blended rate to use on that?
Maureen Short: It's around 6%.
John Rowan: Okay. And actually one more question, one more housekeeping, the tax rate for 2020?
Maureen Short: The tax rate will be similar to this year around 24%, 24% to 25%.
John Rowan: All right, thank you very much.
Mitch Fadel: Thanks, John.
Maureen Short: Thank you, John.
Operator: Our next question comes from the line of Anthony Chukumba from Loop Capital Markets. Your line is open
Anthony Chukumba: Good morning and thanks for taking my questions. So first question, you mentioned some of these new product categories and specifically you mentioned the jewelry, handbags, tires, I think there's a fourth one, I'm forgetting. Just two questions on that. First, I guess the fourth one was tools. Two questions on that. First off, is that in all stores at this point, and then also -- and then second-off, if you can just give some early color in terms of what you're seeing there in terms of customer acceptance and any, and any sort of market differences in terms of like skip/stolens on those products? Thanks.
Mitch Fadel: Sure, Anthony. I'll answer part of your question and the rest I'll be careful not to give our competition too much information. Handbags and tools have been rolled out nationwide. Tools, generators handbags are nationwide. After we did a test, they were on a nationwide tires and jewelry are still in test, the recent test that we just started, as far as any other data around how they're specifically performing like I said I think I'll keep that in my pocket.
Anthony Chukumba: Okay, fair enough. And then I guess my second question. Is there any particular reason that you did -- you didn't have the store accounts in your press release because typically you have you have those in your press release?
Maureen Short: Yes, we've decided to include them in our 10-K and 10-Q going forward with the addition of virtual and the complexity of hybrid locations that could potentially even shift between a virtual location to a staffed at any given point within a quarter. It just complicates the numbers. We will continue to show the staff location, the Rent-A-Center stores franchising in Mexico. Going forward, it's just a less relevant number for us when it comes to the preferred lease segment. We use the metric of invoice volume to really understand what the business is doing rather than location count.
Anthony Chukumba: Got it. Okay. Thank you.
Maureen Short: Thank you, Anthony.
Mitch Fadel: Thanks, Anthony.
Operator: Our final question today comes from the line of Vincent Caintic from Stephens. Your line is open.
Vincent Caintic: Hi, thanks. Good morning. First on preferred lease, so certainly the good guide for 2020 up 18% year-over-year at the midpoint; just two questions, first, is there a cadence over the course of 2018 that we should expect it to ramp up or is it kind of an even 18% throughout the year? And then secondly, it was great that you've admitted that you already have national accounts. all in furniture, however, I'm just wondering, is it a big lift to go from national furniture retailers to becoming to going for a broader set of retailer categories?
Mitch Fadel: I'll start with that and let Maureen talking about the cadence. No, I don't see it as a big lift Vincent, to get into other verticals and the Preferred Lease side. We've done really well with a bigger furniture accounts. No, I don't see this big lift. I think. I'm sure you're familiar, if the biggest change when you get into different verticals and just going to be your decision engineer risk, your risk engine and you might tighten it in one category versus another. That's all, but it's not a not a big lift other than -- presumably you have to tighten it a little more one category versus another.
Maureen Short: Just to add on to that, I mean, we've got one thing that national accounts are looking for is a public company with a strong balance sheet to be able to fund future growth, and we absolutely have that. So it should be like Mitch said, not too big of a stretch to go into someone that is fairly similar in size to some of these other large retail partners that we currently do business with. And then to answer your question about Preferred Lease, and how the cadence of growth will show through 2020 it does build throughout the year as a portfolio business so as we add additional retail partners, it will compound so that the second half of the year is higher growth than the first half of the year.
Vincent Caintic: Okay, that's very helpful. Thank you. One more question, so, on the Rent-A-Center core business storage, just seemed the revenue and EBITDA guidance kind of flattish for 2020. Is that entirely from re-franchising efforts and if so, just kind of wanting what you're thinking about re-franchising and remind us kind of the EBITDA lifts that comes from re-franchising. Thank you.
Mitch Fadel: Yes, Vincent, I think that is the difference, re-franchised about 100 stores last year. So you think about that it's almost 5% of our store, re-franchise when you think about the revenue impact of that, and going forward, as we said, very opportunistically a couple years ago, we were talking about franchising more certainly the company was in a different position as the position we're in now. It's going to be used very opportunistically certain markets if we think a franchisee they can do better for whatever reasons, but just opportunistically so I don't see that. It's not a big part of our strategy going forward, but it does remain part of our strategy from an opportunistic standpoint. As far as EBITDA going forward, there hasn't been much impacted the EBITDA was down a little bit because of re-franchising that would have some negative impact. I talked about the revenue, but if you re-franchise opportunistically that little profit stores you don't give up with that much EBITDA, our royalty rates run between 5% and 6%. So if you're selling the four quartile stores you're not going to be that far off from an EBITDA standpoint. It's mostly revenue some EBITDA but you get your return somewhere else because you got cash for the stores in any given return based on what you do with that money, right, so -- but overall, it's more of a revenue impact that see more even than EBITDA impact when you just look at the Rent-A-Center business segment.
Maureen Short: Right.
Vincent Caintic: Great, very helpful. Thanks so much. Thanks.
Mitch Fadel: Thanks, Vincent.
Operator: We have no further questions. I'll turn the call back to Mitch Fadel for closing remarks.
Mitch Fadel: Thank you, Lisa, and thank you, everyone for joining us this morning. We were glad to deliver very positive results for 2019 and for the fourth quarter specifically. And I want to thank all the entire team, the 14,000 or so co-workers out there in the stores in the chaos here in the field support center. There's a great effort last year by many, many people, and we will work just as hard in 2020 to do it again. Thank you everybody.
Operator: Ladies and gentlemen, this concludes Today's conference call. Thank you for participating. You may now disconnect.